Operator: Greetings and welcome to the Norfolk Southern third quarter 2018 earnings call. As a reminder, this conference is being recorded. I would now like to turn the conference over to Clay Moore, Director of Investor Relations. Please go ahead, Clay.
Clay Moore - Norfolk Southern Corp.: Thank you, Rob, and good morning. Before we begin, please note that during today's call we may make certain forward-looking statements which are subject to risks and uncertainties and may differ materially from actual results. Please refer to our annual and quarterly reports filed with the SEC for a full discussion of those risks and uncertainties we view as most important. The slides of the presenters are available on our website at norfolksouthern.com in the Investors Section along with our non-GAAP reconciliation. Additionally a transcript and downloads will be posted after the call. Now it is my pleasure to introduce Norfolk Southern's Chairman President and CEO, Jim Squires.
James A. Squires - Norfolk Southern Corp.: Good morning, everyone, and welcome to Norfolk Southern's third quarter 2018 earnings call. Joining me today are Alan Shaw, Chief Marketing Officer; Mike Wheeler, Chief Operating Officer; and Cindy Earhart, Chief Financial Officer. Starting with our financial highlights on slide 4. We delivered another quarter of record financial results. Income from operations was over $1 billion, an increase of 14%. Net income was $702 million, up 39% over the prior year. And earnings per share was $2.52, a 44% increase. The operating ratio of 65.4% is a third quarter record for our company and marks the 11th consecutive quarter of year-over-year operating ratio improvement. As 2018 draws to a close, we are poised to achieve another year of solid OR improvement and strong bottom line results. Given the progress we've made in the last three years and the likelihood we will meet our current financial goals well ahead of schedule, we are moving forward on the next round of initiatives to drive shareholder value. We look forward to briefing you on these new initiatives and the associated financial targets at our upcoming Investor Day on February 11 in Atlanta Georgia. Please save the date. Now to provide further insight into our third quarter results, Alan will cover trends in revenue. Mike will give you additional color on the state of operations and Cindy will detail our financial results. I'll now turn the call over to Alan.
Alan H. Shaw - Norfolk Southern Corp.: Thank you, Jim, and good morning, everyone. Starting on slide 6. The success of our market approach is clearly demonstrated by sustained growth revenue, revenue per unit, and volume. This quarter marks the seventh consecutive quarter of year-over-year revenue gains, with seven quarters of strengthening RPU and eight quarters of volume improvement. For five consecutive quarters we achieved steady year-over-year increases in RPU less fuel which is hugely important to operating income. We have succeeded despite the negative mix impact of continued strong volume growth in intermodal with balanced and consistent RPU increases in all three of our business units. The increase in intermodal RPU coupled with productivity improvements consistently enhances intermodal profitability, auguring well for the future given that intermodal remains one of the fast growing segments of the freight market. The strength of our multifaceted plan generated revenue, RPU and volume growth across most markets in our intermodal and merchandise business units. Our balanced focus on margin, price and volume continues to produce revenue growth, benefiting our top line as well as operating income. Slide 7 highlights the results of our plan that generated 10% revenue growth in the third quarter. This gain was the product of sustained volume improvements, higher pricing and increased fuel surcharge revenue. In merchandise we achieved record revenue, RPU, and RPU excluding fuel in the third quarter. Volume growth was led by gains in ethanol and crude oil. RPU grew year-over-year for the tenth consecutive quarter, highlighting our emphasis on pricing. For the fourth consecutive quarter, intermodal achieved record revenue with two consecutive quarters of 20% year-over-year growth. This increase was generated by records and volume and RPU less fuel. A strong economic environment coupled with a tight truck market continues to drive demand for Norfolk Southern's intermodal franchise, resulting in significant growth. Pricing gains led to substantial improvement in RPU less fuel and RPU during the quarter. Coal revenue was up 3% in the third quarter with positive pricing and export volume growth that was partially offset by declines in our utility market. Our strategy delivered strong results in the third quarter with revenue and RPU increases in every business group, underscoring our commitment to competitive pricing as well as our ability to capitalize on market conditions. The continued strength and improvement in our top line metrics illustrates the confidence customers have in our approach. Moving to slide 8. Our outlook for the fourth quarter remains positive. We expect revenue and volume to improve with continued strength in consumer demand and the industrial economy leading to growth in intermodal and manufacturing markets including automotive and plastics. The favorable differential in oil prices is expected to increase volume in our crude franchise. Coal volumes are projected to be up year-over-year in the fourth quarter, driven by growth in both the utility and export markets. Similar to the third quarter, we anticipate fourth quarter utility volumes to be in the 15 million to 17 million ton range. Export volumes are expected to remain in the 6 million to 8 million ton range. Pricing to the value of our product remains a key element of our strategy and we expect that strategy to deliver year-over-year improvement in RPU in the fourth quarter. Our balanced strategy and franchise have positioned us for growth, allowing us to expand with both our existing customers and new customers, maintain a sharp focus on productivity and capacity and deliver results for our customers and shareholders. We are integrated in our customer supply chains and consistently work to understand their markets, partnering for their success and enabling long-term value for NS shareholders. This sustained and balanced approach to both revenue and income growth is delivering results and we look forward to a strong finish in 2018. With that I'll turn it over to Mike for an update on our operations.
Michael Joseph Wheeler - Norfolk Southern Corp.: Thank you, Alan. We are pleased the velocity of our railroad continues to improve while handling record volume for a third quarter as well as achieving a record third quarter operating ratio for the company. Moving to slide 10. Our reportable injury ratio for the quarter improved year-over-year and sequentially. The safety of our employees and the communities we serve continues to be our top priority and where we focus a lot of attention. Our service levels are improving as evidenced by our service composite, speed and dwell all improving sequentially. Additionally, our network velocity as measured at the car level is currently near our highest levels for this year. All four measures are currently pacing at or ahead of our third quarter performance. Turning to slide 11. In addition to improving service for our customers, we're also driving improvement in our efficiency. A record third quarter train length helped drive an all-time record crew productivity for Norfolk Southern. Specifically, we handled 5% more volume with just a 2% increase in crew starts. We also achieved an all-time quarterly record for fuel efficiency. All of these factors combined to help us achieve a record third quarter operating ratio as well as an all-time record OR for the first nine months of the year. Turning to slide 12. To drive further improvements in the velocity of our operation, we are undertaking the development of a new operating plan. The first step is to streamline the railroad which will allow us to move assets faster and create capacity for our customers to grow. This process, something we refer to as Clean Sheeting, starts in the terminals and local serving yards where cars tend to accumulate as they navigate the first or last mile of their trip. The goal is to increase fluidity by reducing car inventories, accomplished in part by increasing service frequency for customers. We also work cooperatively with the customers to create efficiencies in service. We are encouraged by the results we have seen so far as Clean Sheeting underpins our new operating plan going forward. As seen on slide 13, our new operating plan will be built on key principles. As mentioned, it starts with Clean Sheeting which will drive car level velocity higher and lower cars online. This will allow us to build more blocks of traffic in the local serving yards that can be picked up by a through train, bypassing the major classification yards. We will also work with our customers and short line partners on additional blocking opportunities. The blocks will be integrated into the system using different train types and drive further velocity improvements and efficiency. Lastly, we are continuing to evaluate our assessorial program to ensure high asset utilization and capacity for growth. We will provide more details on these operating plans at our upcoming Investor Day in February, including our expectations as to the value we are creating through the new operating plan. I will now turn it over to Cindy who will cover the financials.
Cindy Cynthia Earhart - Norfolk Southern Corp.: Thank you, Mike, and good morning. As Jim said earlier, we've delivered another quarter of record financial results. Let's take a look at the details starting on slide 15. As Alan discussed, we had strong revenue growth of 10%, which when combined with the smaller increase in expenses resulted in the second consecutive quarter of income from railway operations up over $1 billion, 14% higher than last year. We also achieved a record third quarter operating ratio of 65.4%, improving on last year's results by 110 basis points. Just as a reminder, 2017 results have been recast to reflect the required reporting reclassification of certain pension and post-retirement costs. Slide 16 illustrates the component changes to operating expenses. In total, operating expenses increased by $152 million, or 9%, primarily driven by higher fuel prices and volume-related costs. Fuel rose by $76 million, primarily due to higher prices which added $65 million. Consumption was up 4% over the prior year relative to the 5% increase in shipments. Purchased services and rents increased $73 million or 19%. About half of the increase was attributable to higher expenses for purchased services including volume-related increases, additional transportation and engineering activities, as well as higher technology costs. Higher equipment rents expense reflected slower network velocity, the cost of additional short-term locomotive resources, as well as the growth in traffic volume. We expect about half of these additional equipment rent costs to come out in the fourth quarter. The materials and other category increased $38 million or 23%. Last year's gains on the sale of property were approximately $36 million more than the current year. We have also incurred increases in derailment related expenses and additional costs associated with the ongoing relocation of our dispatchers to Atlanta. This year also includes higher locomotive material usage costs due to more locomotives in service. These amounts were partially offset by $20 million of rental income associated with operating property, which you will recall is now included in this expense category. Finally, compensation and benefits decreased by $46 million or 6%. Incentive compensation was $45 million lower than in the third quarter of 2017, based on the timing of accruals, which were a headwind in the third quarter last year. Reduced head count levels saved $10 million over the same quarter last year. Headcount was approximately 320 positions fewer than in the third quarter of 2017 and down about 100 sequentially. Consistent with the first two quarters, lower health and welfare rates also resulted in savings of approximately $8 million versus last year. Overtime and recrews added $15 million of costs. And moving to slide 17, you can see a summarized look at our record third quarter results. Income before income taxes increased 14% and we achieved record third quarter net income of $702 million, up 39% from last year. Diluted earnings per share was also a third quarter record of $2.52, a 44% improvement year-over-year. Wrapping up our financial overview on slide 18, free cash flow for the first nine months was a record $1.6 billion and over $2.9 billion has been returned to shareholders via a 19% increase in dividends as well as share repurchases through both the previously announced accelerated share repurchase program and our ongoing open market purchase program. Our share repurchase programs underscore our confidence in the business as we continue to drive growth and create shareholder value. I'll conclude my remarks by saying the third quarter financial results demonstrate our continued commitment to deliver on our strategic plan objectives and to drive ongoing improvements. Thank you for your attention and I'll turn the call back to Jim.
James A. Squires - Norfolk Southern Corp.: Thank you, Cindy. Guided by the strategic plan we announced in late 2015, thanks to the hard work of our management team and employees we have consistently achieved the results we promise shareholders. This year we are on track for another year of OR improvement and strong bottom line growth and we are confident we will make further progress next year and beyond. In the last few months, we have begun overhauling our railroad from top to bottom, leaving no stone unturned in the quest for efficiency, growth and shareholder value. As we revamp how we operate, we will listen to our customers and find new ways of meeting their needs. We will use our knowledge of our company to innovate from within. We will bring in outsiders where they have experience or skills we lack. We will collaborate with our supply chain partners and others to learn their best practices and, yes, as you just heard from Mike, we will implement PSR principles where they lead to a better result for customers and shareholders. All of the above, we are open to all good ideas that will advance customer service and shareholder value regardless of the source. In summary, we are excited about the momentum we have today and intend to deliver on our promises in the future as we have in the past. We look forward to announcing new financial targets at are Investor Day in February and to showing you the path we will take to get there. Thank you for your attention. We will now open the line for Q&A. Operator?
Operator: Our first question is coming from Allison Landry with Credit Suisse.
Allison M. Landry - Credit Suisse Securities (USA) LLC: Good morning. Thanks for taking my question. It's certainly great to hear about implementing precision railroading. Jim, just on one of your last comments you mentioned that you guys are trying to implement it as long as it improves customer service and enhances shareholder value. So is there anything that maybe you see in PSR that may not fulfill those two initiatives?
James A. Squires - Norfolk Southern Corp.: Well, Allison, as I said, ours will be an all of the above approach to improving customer service and productivity. We will implement PSR principles where they can allow us to better serve our customers and shareholders along with ideas we get from our customers, our supply chain partners, from those both inside and outside the company today. We will endeavor to implement a new operating plan while minimizing service disruption. And we're not going to sit out growth while we do so. This remains an environment very conducive to growth and we're determined to capitalize on it.
Allison M. Landry - Credit Suisse Securities (USA) LLC: Okay. Just, I guess, thinking about that. Does that tell us that maybe you're not fully embracing it? Like we've seen at CSX? And perhaps maybe you're taking a similar approach as Union Pacific. Is that a fair way to think about it?
James A. Squires - Norfolk Southern Corp.: We're looking at everything out there including elements of PSR that are complementary to our strategy. So it's too soon to go into the specifics of our new plan. We will give you those specifics in February along with the new financial goals, but suffice it to say, our goal is to produce a railroad that provides a more consistent service product at a lower cost.
Allison M. Landry - Credit Suisse Securities (USA) LLC: Okay, great. And then if I could just get in my follow-up question. Could you help us to frame or quantify how much the network inefficiencies cost you in the quarter? I know that there were some elevated equipment costs and some derailment costs and, of course, the network velocity and whatnot. Maybe if you could help us to understand what the impact of that was in the quarter? Thank you.
James A. Squires - Norfolk Southern Corp.: Sure. Well, we did have some lingering service-related busts as we indicated we would last quarter. Cindy can give you some more specifics on the individual line items. But despite the additional expenses we were able to produce another quarter of year-over-year operating ratio improvement and significant incremental margin from the growth. Cindy?
Cindy Cynthia Earhart - Norfolk Southern Corp.: Sure. Allison, you're right. We did continue to have some network velocity costs. We have not quantified those really since the first quarter. We do continue to see them come down somewhat. You did see some elevated equipment rent. As I pointed out in my comments, we expect about half of the increase of what you saw in equipment rents to come out in the fourth quarter. And we expect velocity cost to continue to come down as the service improves.
Allison M. Landry - Credit Suisse Securities (USA) LLC: Great. Thank you so much for the time.
Operator: Next question comes from Jason Seidl with Cowen and Company.
Jason Seidl - Cowen Securities: Thank you, operator. Good morning, everyone. I want to switch it up and talk a little bit about intermodal here for a minute. Obviously, you've been growing in that area and that's part of your growth plan going forward. We're still in a fairly tight truck market right now, but as you guys know that changes over time. Can you talk about the plan and how much it's predicated on trucking capacity being tight out east and what Norfolk can do to grow that even in, let's say, a flat truck market as opposed to a tight truck market?
James A. Squires - Norfolk Southern Corp.: Alan, I'll let you take that one. Let me say, though, that intermodal has been a consistent grower for us through tight and less tight truck markets. Alan?
Alan H. Shaw - Norfolk Southern Corp.: Jason, we've grown our revenue in intermodal year-over-year for eight consecutive quarters. And as Jim notes, that includes a very loose truck market at the end of 2016 and early 2017 and then what we're experiencing right now. We're very encouraged by what we're hearing from our channel partners with respect to the outlook for next year. We still expect truck rates to go up. We still expect intermodal loadings to go up next year and there is a gap there between intermodal pricing and truck market pricing that we're going to lean into and to be able to price into.
Jason Seidl - Cowen Securities: And I'll link this to your new operating plan. And I understand the details will be given at the Investor Day, but how crucial is the new operating plan to continuing to grow intermodal? And even more importantly, continuing to realize the price for your services?
James A. Squires - Norfolk Southern Corp.: Alan?
Alan H. Shaw - Norfolk Southern Corp.: Jason we have a great intermodal franchise. And we run a lot of point-to-point trains in that franchise. And we're working very closely with our customers and within the operations division on improving the productivity. And you're seeing that reflected in bottom line results. And we're going to continue to focus on price. We've talked earlier about the cadence of pricing opportunities within intermodal would last well into 2019. We still expect that to occur and we're going to continue to focus on productivity.
Jason Seidl - Cowen Securities: Appreciate the comment, as always.
Operator: Our next question comes the line of Justin Long with Stephens. Please proceed with your question.
Justin Long - Stephens, Inc.: Thanks and good morning. So I was wondering if you could talk about the timing and scale of implementing this new operating plan. Just wanted to get a better understanding of how we should think about the rollout and, as you go through this process, would you be open to the idea of bringing someone in with PSR experience in some of these operating principles? Or do you feel confident with the team you currently have in place?
James A. Squires - Norfolk Southern Corp.: Justin, let me take the second part of that question and then I'll let Mike talk about the sequence of events. Obviously we are going to give you more detail on the new operating plan in February. We have brought in those with PSR experience and we will continue to do so, recognizing that we don't have a monopoly on good ideas and that we can benefit from the perspective of those outside the company who have implemented PSR principles and other best practices. Mike?
Michael Joseph Wheeler - Norfolk Southern Corp.: Yes. So talking about our plan, we are currently doing the Clean Sheeting now. We're currently out across the railroad looking at our local serving yards and terminals and working with customers in how we get that done. And we will be doing that for several months now. And at February at the Investor Day, then we'll start telling you about what we're going to do with the operating plan that's been developed from the Clean Sheeting that we've done across the railroad. But there'll be different cadences to this. We're going to do certain changes to the operating plan, get that in place, get the benefits of that across the supply chain and then we'll take another step forward, harvest some more benefits. So it's going to have cadence too where we do some, do some more and continue to get the benefits.
Justin Long - Stephens, Inc.: Okay. Thanks. And secondly, it seems like one of the areas of focus in the new strategic plan will be reducing equipment on the network. You mentioned cars online. Do you have any initial thoughts on how locomotives and rail car needs could change over the next couple of years? Just curious what you see as the targeted size of your equipment fleet relative to where it is today?
James A. Squires - Norfolk Southern Corp.: We'll give you more information on those kinds of targets in February. Obviously, better locomotive and freight car productivity will be key elements of the plan. As Mike went through, one of the big goals is to drive down cars online and increase overall network velocity. That implies significant productivity in both locomotive and freight car categories.
Justin Long - Stephens, Inc.: Okay. I'll leave it at that. Thanks for the time.
Operator: The next question is coming from the line of Amit Mehrotra with Deutsche Bank. Please proceed with your questions.
Amit Mehrotra - Deutsche Bank Securities, Inc.: Thanks, operator. Hi, everybody. So I fully appreciate, I guess, the time it takes to form and communicate a new operating plan. So we can certainly wait until February for that and I look forward to that. But a plan I think is probably devised with some specific targets in mind or some philosophical view about what the returns in the business should be either on an absolute basis but probably more appropriately relative to what the benchmarks are achieving in the space. So I know I asked this exact same question last quarter. So forgive me. But Jim, as you think about what the company is managing to now actively, are there any structural reasons for the profitability in Norfolk Southern to be any different than CSX in kind of over a mid- to long-term timeframe?
James A. Squires - Norfolk Southern Corp.: Our financial objectives in the next long-range plan will be the same sorts of objectives that we have driven toward in the current long-range plan, i.e. both top line growth and, of course, earnings growth through a combination of revenue and margin improvement. The latter being critical to financial success in our industry. We certainly recognize that and will be pushing hard for significantly lower operating ratios in the next plan. We will also be focused on return on capital. That too is a critical metric in our industry. The railroads being a capital intensive business, we focus heavily on return on capital. So you will see objectives in each of those categories in February and I can assure you they will be aggressive goals. We're working hard on them and putting in place the specific initiatives that will allow us to drive shareholder value.
Amit Mehrotra - Deutsche Bank Securities, Inc.: Okay. Thank you for that. And then just one follow-up for me. Last quarter you and Cindy talked about the balance sheet being evaluated to have an optimal capital structure. I fully understand the operating plan takes maybe a long time to formulate, but the balance sheet action should be, I think, relatively straightforward given your communications with the credit rating agencies. You did raise some debt. You did an accelerated share repurchase relatively recently. Is that all we should expect on that front or should we expect some communication or can you update us now on where you think the optimal leverage for the company is?
James A. Squires - Norfolk Southern Corp.: I'll turn it over to Cindy for her thoughts on financial strategy, but let me say again what we have achieved thus far. In 2018 alone for the year-to-date, $2.9 billion in capital returned to shareholders via a 19% increase in dividends and the ASR normal course share buybacks. Cindy?
Cindy Cynthia Earhart - Norfolk Southern Corp.: We will continue to evaluate the balance sheet. But I will say that, as we said, in the last quarter that we feel pretty comfortable with the credit bands that we're in and kind of sitting in the middle of that range. We will continue to look at it and we continue to talk about that and we'll update you again in February. But for now I think we're comfortable in that range.
Amit Mehrotra - Deutsche Bank Securities, Inc.: Got it. Okay, guys, thanks so much. Good luck with everything, appreciate it.
Operator: The next question is from the line of Chris Wetherbee with Citigroup. Please proceed with your questions.
Christian Wetherbee - Citigroup Global Markets, Inc.: Hey, thanks, good morning guys. First wanted to start on the pricing side. Alan, you kind of mentioned a little bit of what was going on in the intermodal side. I think you also mentioned some improvements on the coal side too. But as you take this, start to think about 2019, presumably there is sort of a bigger percentage of your contracts that may come up in the earlier part of 2019. Just want to get a sense of maybe how we should be thinking about the momentum? Is there an opportunity to get better price in 2019 or some the factors that you're kind of seeing now potentially with volume decelerating, at least growth decelerating a bit, will that have an impact? Just want to get a sense of maybe how you're thinking about the setup in the context of the new operating plan you're doing, will pricing will be a greater tailwind in 2019?
Alan H. Shaw - Norfolk Southern Corp.: Chris, great question. Pricing is going to be a key component of our plan moving forward, as it is now. The price that we secured in the third quarter was the highest level that it has been in six years and we set a quarterly record for price within our intermodal franchise. As I've noted, we see a lot of strength and support for pricing moving well into 2019, particularly in truck competitive markets. Coal pricing is going to be dictated by seaborne coking coal prices, which right now remain elevated, and natural gas prices which right now are fairly strong. There's a lot of strength in our truck competitive markets. And so we continue to see opportunity and momentum within pricing for our intermodal and our merchandise franchise.
Christian Wetherbee - Citigroup Global Markets, Inc.: Okay, okay, that's helpful. And then just maybe a detail question here, when you're thinking about head count, I guess maybe putting the new operating plan aside for the time being. As you're thinking about the next quarter or two, maybe this is a question for Cindy, how should we be thinking about the cadence of head count growth or contraction? You've had a nice deceleration here. Volume growth continues to be pretty decent. Just want to get a sense of where you're getting to the point where you feel like you might have to start adding resources either sequentially or year-over-year?
James A. Squires - Norfolk Southern Corp.: Cindy?
Cindy Cynthia Earhart - Norfolk Southern Corp.: Sure, Chris. So if you looked at head count and said we were down about 300 year-over-year and down about 100 sequentially. We were hiring T&E in the third quarter. And we had actually increases in our T&E head count, but we were able to reduce the areas other than T&E to kind of keep that number down or relatively flat. Going into the fourth quarter, we expect to continue to be hiring some T&E, particularly in our main corridors, but we will also continue to try to manage the non-T&E head count. So you can expect to see it flat, maybe up slightly into the fourth quarter. And then into 2019, we'll talk a little bit more about that as our plans come together.
Christian Wetherbee - Citigroup Global Markets, Inc.: Flat to up sequentially in 4Q. Just want to make sure I'm clear on that?
Cindy Cynthia Earhart - Norfolk Southern Corp.: Yes.
Christian Wetherbee - Citigroup Global Markets, Inc.: Okay, great. Thanks for the time. I appreciate it.
Operator: Our next question is from Walter Spracklin with RBC Capital Markets. Please proceed with your questions.
Walter Spracklin - RBC Dominion Securities, Inc.: Thanks very much. Good morning, everyone. So with regards to the new plan, have you started it now or is it something that you formulated and you plan on implementing and telling us about on February? Just trying to understand whether the results are something we can see on a continuous basis or is it something that kind of starts at a certain time in the future?
James A. Squires - Norfolk Southern Corp.: We have begun implementing the Clean Sheeting part of the new operating plan. So yes, that has been underway for some time now. We've been going across the railroad from location to location Clean Sheeting as Mike has described. And we'll continue to push hard on that until we have laid the foundation through the Clean Sheeting process for a new operating plan for the network.
Walter Spracklin - RBC Dominion Securities, Inc.: And part of prior plans at other railroads entailed a fairly significant head count reduction and quite a change in the infrastructure within each of the organizations and we've heard – you would have seen very significant reductions in number of hump yards and so on. Your approach in the past has been a little bit more balanced, I think you've termed it, Jim. Will this plan be more aggressive on head count reduction and infrastructure changes or continue to be more on the balanced site?
James A. Squires - Norfolk Southern Corp.: Labor productivity being a key component of overall productivity and a necessary component of further progress on the operating ratio, we will be focusing on that element of the plan. Certainly, as we grow out the new operating plan we would expect to achieve greater labor productivity as well as asset productivity through fewer locomotives and freight cars out on the network.
Walter Spracklin - RBC Dominion Securities, Inc.: But is that incremental, or in prior plans we've seen 30% reductions in labor force. We've seen 75% reductions in number of hump yards. Improvement could be a little bit or a lot. I'm trying to get a sense of are we incremental improvement? Or is it along the lines of these other very significant changes in infrastructure and labor force?
James A. Squires - Norfolk Southern Corp.: We'll give you more details in February. But as I have said, we do expect to put some aggressive ambitious goals out there for the operating ratio and for further overall financial improvement. Labor productivity and asset productivity, network productivity will be absolutely part of that and will be necessary to achieve those goals.
Walter Spracklin - RBC Dominion Securities, Inc.: Okay. Thank you very much.
Operator: Next question is from the line of Scott Group with Wolfe Research. Please proceed with your questions.
Scott H. Group - Wolfe Research LLC: Hey, thanks. Morning, guys. Can you give us any sort of hurricane impact in the quarter and any sort of guidance on incentive comp year-over-year for the fourth quarter?
James A. Squires - Norfolk Southern Corp.: Okay, Mike, why don't you take hurricane question and then, Cindy, talk a little bit more about incentive compensation.
Michael Joseph Wheeler - Norfolk Southern Corp.: Yeah, we weathered the hurricanes really well. Hurricane Florence came on land and we were able to restore our main lines pretty quickly, within 24 hours. We did have some of water impact around New Bern that we had some of our bridges underwater, but we were able to use short lines to re-route traffic to some of our major customers. So Hurricane Florence was really a short-term impact to us. We got the railroad up very quickly. And same thing with Hurricane Michael, it moved across our network pretty quick. We were responding right behind it as it came in, pretty much removing trees and putting generators out at signals and grade crossings, and again, got the railroad up very quickly. So both storms that moved right through our network, we were able to recover quickly. And really that's a testament to our engineering folks who staged a lot of equipment, assets, generators out in the right locations so that we could recover quickly and we did. So we had very minimal impact and were able to get the railroad up very quickly.
James A. Squires - Norfolk Southern Corp.: Cindy?
Cindy Cynthia Earhart - Norfolk Southern Corp.: Yes. In terms of the cost of the hurricane, I mean I think all of our preparation work really paid off. And the costs were really not significant at all in terms of the hurricane. On your second quarter around incentive comp, you'll recall and I said in my comments that third quarter of 2017, we had a large incentive comp adjustment. We did an adjustment in 2018 in the second quarter. Going into the fourth quarter, it will really depend on the company performance as to whether there's any sort of adjustment to incentive comp. So we'll just have to wait and see how we do as the fourth quarter continues.
Scott H. Group - Wolfe Research LLC: But nothing obvious on the year-over-year comp good or bad for 4Q, Cindy?
Cindy Cynthia Earhart - Norfolk Southern Corp.: No, nothing.
Scott H. Group - Wolfe Research LLC: Okay. And then, Jim, you mentioned that you've brought in some precision railroad in people. Can you maybe add a little bit more color there? Is it senior people? Is it people in the yards, just how many people? Just maybe a little bit more there would be helpful.
James A. Squires - Norfolk Southern Corp.: Well, we have people on the ground with PSR experience assisting us as we move through Clean Sheeting. We also have people who are advising us on the new plan as we put it together, the new operating plan, the new strategic plan, with that kind of a background. So we feel we have covered the bases and, as I said before, we know we don't have a monopoly on good ideas. We are open to best practices including but not limited to PSR.
Scott H. Group - Wolfe Research LLC: But are you sort of open to adding to the C-suite or executive levels if appropriate?
James A. Squires - Norfolk Southern Corp.: I have total confidence in my team. And I believe that we have what we need in that team to deliver the results that we will lay out for you in February, just as we have delivered the results for you up to this point for the last three years.
Scott H. Group - Wolfe Research LLC: Okay. Thank you, guys. Appreciate the time.
Operator: The next question comes from the line of Brandon Oglenski with Barclays. Please proceed with your questions.
Brandon R. Oglenski - Barclays Capital, Inc.: Hey, good morning, everyone. Alan, wanted to come to your revenue outlook because it looks like you have pretty bullish comments across your three segments here, merchandise, intermodal and coal. I just wonder if you could balance that in the context of the looming tariffs on a lot of Chinese goods that could be implemented in January. Have you have heard any concerns from your customer base around what's upcoming in 2019?
Alan H. Shaw - Norfolk Southern Corp.: Brandon, what we're seeing is a little bit of inventory stockpile or inventory pull-ahead. However, you take a look at the macro data, the inventory sales ratio remains flat and at a pretty low level which indicates the demand for product is pretty strong. You take a look at manufacturing in September was up 5.1% year-over-year, the strongest gain in almost eight years. Retail sales in the third quarter were up 5.9%. So the economy remains very strong. The tariffs add some uncertainty to what our customers are thinking, however the underwriting economy as represented in the macro numbers is very strong, which gives us a lot of confidence in our volumes and our revenue in the fourth quarter and well into 2019.
Brandon R. Oglenski - Barclays Capital, Inc.: Okay I appreciate that, Alan. And then, Jim, maybe a little bit more strategic one. And I don't want to focus necessarily on your competitor. But if CSX were to run at a significantly lower operating ratio and we've seen them improve system velocity, and I know it's not defined the same anymore. But is that a concern for you if you can't get your cost base down equal to your competitor? Is there a lot of traffic that potentially could be at risk as you look out over the next couple of years?
James A. Squires - Norfolk Southern Corp.: Well, let me state what I think is the obvious. We are focused on enhancing value at Norfolk Southern, leveraging our franchise and we have for the last three years fulfilled our commitments to shareholders. Think about it, think back. Over 500 basis points improvement in the operating ratio in three years, double-digit EPS growth, ahead of schedule on both of those metrics, which we laid out three years ago, substantial shareholder value delivered. So we will continue to push for the best possible result at Norfolk Southern. We're very confident in our prospects and we'll give you the details on the new plan in February.
Brandon R. Oglenski - Barclays Capital, Inc.: Okay, Jim. Thank you.
Operator: The next question is from the line of Turan Quettawala with Scotiabank. Please proceed with your questions.
Turan Quettawala - Scotiabank: Yes. Good morning. Thank you for taking my question. I guess just talking a little bit about PSR here. One of the other things that does happen is quite a bit of an improvement in CapEx. And you talk about obviously reducing cars online and so on and so forth. Should we assume just sort of directionally that CapEx should be going down here going forward or do you think it is sort of stays aligned little bit?
James A. Squires - Norfolk Southern Corp.: We believe that 16% to 18% of revenue is an appropriate range for capital spending. We believe that's necessary in order to sustain our franchise and to invest for growth. In addition, we have significant expenditures now and on the horizon for locomotives. We're in the middle of a substantial locomotive conversion program and we intend to continue layering in new locomotive acquisitions as well.
Turan Quettawala - Scotiabank: Okay. Thank you. And I guess just one more. I don't know if it's possible to give some early indications on coal here for next year just on the export side. Obviously, this year has been pretty strong on export coal. Just wondering do you think there's potential for further growth in the coal franchise in the export side next year?
Alan H. Shaw - Norfolk Southern Corp.: Certainly, the seaborne prices have increased as the year has progressed. And if that holds into next year and coal production comes online, then, yes, we could see growth in our export coal franchise next year.
Turan Quettawala - Scotiabank: Thank you very much.
Operator: The next question is from the line of Bascome Majors with Susquehanna. Please proceed with your questions.
Bascome Majors - Susquehanna Financial Group LLLP: Yeah, good morning. We've seen some pretty credible press reports about you relocating your headquarters from Norfolk to Atlanta. This morning you just announced a February Investor Day to be held at Atlanta. I know this isn't a done deal, but can you talk high level. Is this synergy play just to get management closer to the operating team, a local talent pool play or really just more about cost reduction? And maybe just a little bit about the real estate situation that's creating this opportunity and whether or not you'd expect that to be net cash positive to your investors?
James A. Squires - Norfolk Southern Corp.: We are considering headquarters relocation to Atlanta as has been reported in the press. It is not a done deal. A number of aspects of the relocation still have to come together for it to become a reality for us. The impetus for headquarters relocation is alignment and teamwork. It's our belief that we will function more effectively as a team, we will be more aligned if we are in one place. We do own property in Atlanta which we have been seeking to sell for some time now. And that would be one aspect of headquarters relocation that would need to be resolved before we do it. And we will certainly report to you as we report our results, any real estate gains that might accompany that transaction.
Bascome Majors - Susquehanna Financial Group LLLP: Thank you.
Operator: The next question is from the line of Tom Wadewitz with UBS. Please proceed with your questions.
Thomas Wadewitz - UBS Securities LLC: Yeah, good morning. So I wanted to ask you about I guess the broader review on the approach on PSR and so forth and the financial target. As you in February, as you think about that backdrop, how much does a review of probability of the segment play in? I think a component we've tended to see with PSR at other railroads is you look through the book and say, okay, maybe this is a piece of business we're not making a lot of money on. We can see some of it go away or we pretty significantly change the service that we offer. So I'm just wondering is that part of which are you doing here in PSR or the other strategic? Or you think the volume you have is good volume and you don't need to see some of it move away?
James A. Squires - Norfolk Southern Corp.: What you have described, Tom, certainly is a part of the strategic review that we have underway. Now that's something that we do all the time. We're always looking at our book of business and seeking to optimize its profitability by one means or another. So that's ongoing. That's not necessarily new, but yes, at a high level, we are doing that as part of the new long-range plan. Alan?
Alan H. Shaw - Norfolk Southern Corp.: Tom, you see us continue to take a look at our intermodal franchise. And we have announced some lane closures over the last year, year and a half, and yet still have shown eight straight quarters of volume improvement. Those actions and the productivity improvements that they generate as well as the pricing opportunity has really helped us improve the profitability of our intermodal franchise and allowed us to reinvest in it. As Jim noted, this is an ongoing effort across all of our business units. So it's nothing new, it's part of good housekeeping that we do every day.
Thomas Wadewitz - UBS Securities LLC: Okay, good, that's helpful. And then maybe just one on the current dynamic in the truck market, how that affects you? I think, it's hard to tell, it seems like broader freight backdrop is pretty strong. That said, do you see evidence of softening in the truckload spot market, maybe not so much on the contract side. Have you seen some kind of wrinkles of weakness coming in? And how do you think about the kind of how tight things are and the outlook for pricing going forward?
Alan H. Shaw - Norfolk Southern Corp.: Tom, our channel partners have indicated to us that they're expecting a very strong fourth quarter. And with consumer confidence being at an 18-year high, we expect that to continue well into 2019. Our contract structure will allow us to continue the momentum with pricing. So we're very confident about volume opportunities and pricing opportunities in the truck competitive environment for the remainder of this year and in next year.
Thomas Wadewitz - UBS Securities LLC: Right. Okay. So you really haven't seen signs of weakness?
Alan H. Shaw - Norfolk Southern Corp.: No.
Thomas Wadewitz - UBS Securities LLC: Okay, great. Thank you for the time.
Operator: The next question is coming from the line of Ken Hoexter with Merrill Lynch. Please proceed with your questions.
Ken Hoexter - Bank of America Merrill Lynch: Great. Good morning. Jim or Mike, I guess, I just wanted to understand what changed through your process and maybe mindset here as you kind of step over to this Clean Sheeting PSR process. You've always talked about this is the right plan for you in terms of focusing on top line growth. And I guess maybe just to understand, is this kind of an evolution of that same plan? Or a complete overhaul and looking at your peers saying we need to shake that up? And I guess within that, Mike, I don't know if you want to maybe walk through the process of Clean Sheeting in terms of what you've been doing so far?
James A. Squires - Norfolk Southern Corp.: Well, Ken, let me respond first and then I'll turn it over to Mike. Certainly, we are looking to change the way we operate. That's necessary. The network has evolved over the years. It's time for a major network overhaul, an operating plan overhaul anyway. So that's something that we are focused on as a natural development in the life of the network, if you will. It's time for that kind of a bottom-up review of how we operate. So certainly the underpinnings of it are organic in that sense, driven by our customer base, our mode of operations up to this point, and the need to continue to push productivity and efficiency while preserving the capacity for growth. Mike, a little bit more about Clean Sheeting?
Michael Joseph Wheeler - Norfolk Southern Corp.: Yeah. This is evolutionary. As Jim noted, we've optimized our networks in the past and now we're going to take the next step and optimize them together. But Clean Sheeting is really a deep dive at our local serving yards and the nodes to that area. And we bring our service design folks in. We bring our customer service folks in. We bring marketing folks in. We look at all the local service schedules and we make sure they're synced up as good as they can with the main train network. We talk to customers about how we get traffic in and out of their facilities quicker, get them through our yards quicker. So it's a deep dive at all of these nodes across our network which are the local serving yards. And it's a pretty intense work that we do. We do it over several weeks and then we come out of there with a better, more efficient operating plan and you saw some of the results we showed you.
Ken Hoexter - Bank of America Merrill Lynch: So does it go so far as to just looking at improving the performance at those yards? Or does it step back in terms of the Clean Sheeting in terms of your network structure, right? So when you look at the peer now that's I guess ripping up the hub and spoke concept of intermodal. I know, Alan, you mentioned closing some lanes, but does it structurally change how you think about even the yards themselves?
Michael Joseph Wheeler - Norfolk Southern Corp.: So what happens is after the Clean Sheeting is done then you're able to put the train plan network in a more optimal fashion where you get the benefits of what you've done with Clean Sheeting. Does that answer your question?
Ken Hoexter - Bank of America Merrill Lynch: Yeah. No, appreciate the time. Thanks, guys.
Operator: Our next question is from the line of David Vernon with Bernstein. Please proceed with your questions.
J. David Scott Vernon - Sanford C. Bernstein & Co. LLC: Hey, good morning, guys. It'd be great to get a sense for – one of the tenets of your plan here is that you're going to be integrating some of the other segments into the merchandise network. I'm assuming you're talking about intermodal and merchandise. Exactly how separate have those networks been running to-date and can you give us some sense of how much of the networks are actually going to be integrated.
James A. Squires - Norfolk Southern Corp.: Mike, you want to take that one.
Michael Joseph Wheeler - Norfolk Southern Corp.: Yes. So our multilevel and intermodal networks have pretty much been integrated for several years. And Alan noted the productivity we've got out of those. So those have been integrated. Merchandise has been optimized and developed on its own. And then the bulk network's kind of been mainly its own separate network. So those are the three separate networks. We have done some integrating of different parts of that but not at the level that we're looking at for the next operating plan.
J. David Scott Vernon - Sanford C. Bernstein & Co. LLC: And I guess as you start to think about putting the premium traffic in with some of the carload traffic, is that going to have an impact do you think on the services that you're actually able to offer to the marketplace as opposed to having one, two, three day a week service? Are you going to be able to offer a broader set of service as well as we move through the next couple of years?
Michael Joseph Wheeler - Norfolk Southern Corp.: Yes, absolutely. This is intended to make sure we actually provide more service to the customer. So yes, that's what we expect.
James A. Squires - Norfolk Southern Corp.: The frequency of service certainly can increase under this new operating plan we believe. Our goal, as I said earlier, is to achieve this with a minimum of network disruption. That doesn't mean service won't change to some customers however. It will. It will. There will be different service parameters in some cases. Our goal is to provide a more consistent lower cost service product.
J. David Scott Vernon - Sanford C. Bernstein & Co. LLC: I guess just within your markets, Jim, right obviously in the Eastern part of United States I would imagine that getting to a more frequencies on a day a week basis would give you a significant advantage relative to truck. Is that right? Or am I thinking about that wrong?
James A. Squires - Norfolk Southern Corp.: Yes, that is true and that also can result in cost reduction because of the increased velocity of the network.
J. David Scott Vernon - Sanford C. Bernstein & Co. LLC: Excellent. Thank you.
Operator: Next question is from the line of Brian Ossenbeck with JPMorgan. Please proceed with your questions.
Brian P. Ossenbeck - JPMorgan Securities LLC: Hey good morning, thanks for taking the question. Maybe just go to Alan on domestic coal. You mentioned in the slides in the prepared remarks there was some increasing demand on utility coal. Could you give us a sense of where the stockpiles are, what the winter setup looks like from a network and equipment perspective? And then just any outlook with natural gas here, cracking above $3 for the first time in a long time?
Alan H. Shaw - Norfolk Southern Corp.: Good morning, Brian. Stockpiles have largely declined over the last year. In the North they're at about 50 days. They've declined about 30 days in the last 12 months. And in the South, they're at about 65, 66 days and we estimate they've declined about 22 days within the last year. And so you see that setup for increase in demand for our services in the fourth quarter and in the first quarter of next year. Obviously with natural gas prices closer to $3.25 or $3.20 that helps too because, as you noted, that's up about $0.22 per million BTUs to where it was this time last year.
Brian P. Ossenbeck - JPMorgan Securities LLC: Okay, got it. And then on the export side, I know you gave some color on that already. But was there any impact from the hurricanes as they came through the network? I know you don't really have any storage capacity at Lamberts Point, but is there any sort of catch-up that you would expect to hit the fourth quarter?
Alan H. Shaw - Norfolk Southern Corp.: We had a force majeure within our coal fields for about three days earlier this month as a result of the hurricanes. And so you'll see a little bit of catch-up associated with that. We also did some maintenance at our Lamberts Point facility as well. So we fully expect that, assuming good production, that export volumes will ramp up sequentially week-over-week as the quarter progresses.
Brian P. Ossenbeck - JPMorgan Securities LLC: Okay. Thanks, Alan. Appreciate it.
Operator: Our final question is from the line of Matt Reustle with Goldman Sachs. Please proceed with your questions.
Matthew Reustle - Goldman Sachs & Co. LLC: Yeah. Thanks for taking my questions here. Just first on the PSR initiatives. Can you differentiate how much of this is an opportunity for you to just improve your own results, how well you run your business, versus how much of this is something that you need to do to bring down the cost structure to fend off competition as the trucking market eventually does recover and as your peer in the East has brought down its own cost structure?
James A. Squires - Norfolk Southern Corp.: We believe that by implementing best practices developed from within, developed with our customers in our consultative process, developed with our supply chain partners, and including our PSR practices can lead to both a better and more consistent service product and a lower cost structure.
Matthew Reustle - Goldman Sachs & Co. LLC: Got it. Okay. And then just quickly on crude, seeing a nice pick up there. Are most of those barrels coming in from Canada? Or are you seeing any split between the Canadian mix versus the Bakken mix and if you have contracts or you're part of the contracts tied to those barrels?
Alan H. Shaw - Norfolk Southern Corp.: Yeah, Matt, most of our increase in crude oil volume is the Western Canadian select, which as I'm sure you're aware is very much in the money. There is a great arbitrage opportunity on the East Coast for that. So that's where we're seeing the volume growth. We expect it to continue in the fourth quarter and continue well into 2019. So we're optimistic about our volume outlook for the remainder of this year, whether it's in coal or intermodal or merchandise. And we expect that to continue in 2019 both for demand for our product and our ability to price.
Matthew Reustle - Goldman Sachs & Co. LLC: Great. Thanks very much.
Operator: Thank you. At this time, I'll turn the floor back to Jim Squires for his closing remarks.
James A. Squires - Norfolk Southern Corp.: Thank you, everyone, for your questions today. We're excited about the momentum we have. We intend to deliver on our promises in the future as we have in the past. We look forward to announcing new financial targets at our Investor Day in February and to showing you the path we will take to get there. Thank you very much.
Operator: This will conclude today's conference. You may disconnect your lines at this time. Thank you for your participation.